Simon Crutchley: Good morning, everybody, and welcome to AVI's year-end results to June 2025. Also welcome to everybody online. I'm joined by a few of my colleagues. So if there are any difficult questions, I'll make sure that they answer those. We've got a pretty typical format, if I could get this to go. I'll take you through some key features. Justin will go through the group's financial results in a little bit more detail, and then I'll talk to business unit specific performance, a few comments on prospects, and then happily take questions and answers. As we said, I guess, in the sense, it's I think a sound performance off a very tough annualized base with the growth that Justin will talk about. Last year, some 22% EBIT growth. Revenue, obviously constrained by volume challenges across the portfolio, and I'll go into that in some detail as will Justin. But pleasing management of gross margin, something we focus on. We're playing the long game here. Fundamentally, the most important thing we try and do is to preserve the group's gross margins because that's the long-term embedded value of the company. It was a very tough year for the fashion brands portfolio. Spitz, in particular, obviously impacted in the first semester, which is so critical to its performance by supply chain challenges and then, of course, the costs following our decision to close the Green Cross retail portfolio. I&J, nice to see some improving catch rates after a very long and torrid period of poor catch rates, but still not where they need to be. And of course, abalone, that market still remains very challenging. We'll cover that off in some more detail. Very pleasing to see our innovation efforts, which are both at the top and the bottom end, both in convenience formats, gaining momentum and driving incremental growth in some of our categories. We continue to restructure AVI. We're trying to make sure that our business and how it's run and operated is as effective as it can be, confronting the realities and challenges of a low-growth environment. And we invested some ZAR 42 million in the year, not all of which would have been benefiting this past financial year. So group operating profit, just under 8% off the 21.7% of the prior year. The margin improved around 6.7%, which was pleasing, lifting headline earnings some 6.1% to ZAR 7.29. Importantly, strong cash flow generation was sustained. Slightly bigger CapEx than we've had more recently, but a significant portion of that was the new Umlungisi freezer vessel investment that we made in I&J. Final dividend, pretty much up in line with the headline earnings, and strong capital returns sustained. I think one of the highest that we've had with continuity of the dividend yield. That's the history. Obviously, the COVID bump, but pleasing to see the recovery in some of the businesses and the sustained improvement in both margins and growth in operating profit compounding some 11% now for over 20 years. The return on capital employed, I touched on it. I guess it speaks for itself. And then, of course, cash conversion, slightly lower than last year, but that's simply, I think, to do with the rollover date, not always does the financial year-end with all of our receivables being paid to us, but nonetheless, a very strong cash conversion. That's the dividend history, and that's based on, obviously, the ZAR 94.13 at the end of June and excludes share buybacks. I guess if you add back the share buybacks, which have been reasonably repetitive, sometimes, we've also obviously bought shares in the market where we thought there was value. But what's interesting is in AVI, if you present value our dividends and returns, for the last 21 years, we've paid ZAR 36.5 billion back to shareholders and obviously still have the market cap. So I think that's a credit to the strength of the cash flows that have been, I guess, produced in AVI over a long period of time, about ZAR 5 billion returned to shareholders in the last 2 years. Let me give you to Justin. And by the way, that's not our latest Spitz fashion innovation.
Justin O’Meara: Thank you, Simon, and good afternoon, everybody. I think as Simon has highlighted, a sound performance for the year, particularly given the constrained demand environment that we've operated in and the high and strong prior year base. Revenue grew 1% on the prior year, largely a function of selling price increases taken to recover input cost pressures, and that was partly offset by lower volumes in most of our categories. Gross profit grew ahead of the top line. As Simon has highlighted, continued focus on protecting and managing our gross margins and pleasing to see our gross margin improving to 42.7%. Selling and administrative expenses decreased 1% on the previous year, a lot of focus on managing costs throughout the business. That was despite the increase in marketing spend to support our brands and some of the innovation that Simon has spoken to. In addition, we incurred some once-off restructuring costs. I'll talk a little bit to that later on. And operating profit growing 7.8% to just under ZAR 3.6 billion for the year, with the operating profit margin improving to 22.2%. As expected, net finance costs increased on the previous year. You'll recall in October last year, we paid a special dividend to shareholders that increased our net borrowing levels and resulted in a higher finance cost for the year. There was a partial offset from lower average borrowing rates, with some benefit as interest rates came off during the year. The capital items, not significant, but does include a profit ZAR 12.6 million. We reported on that in the first semester results related to the disposal of the squid fishing business that was conducted by I&J's joint venture. And the effective tax rate increasing marginally, but remaining largely in line with the corporate rate of 27%. Headline earnings grew 6.4% to ZAR 2.4 billion, and headline earnings per share at a slightly lower 6.1% as a result of dilution from shares issued in respect of the various group share incentive schemes. The graph here depicts the movement in operating profit for the first and second semesters compared to the previous year. I think as Simon has highlighted and important to note is that the prior year base grew 21.7% on the prior year. Also, the first semester had delivered 17% growth and the second semester 29% growth. So pleasing to see that we were able to deliver growth across both the first and the second half of the financial year. Overall compound annual growth of 14.5% delivered across the last 2 years. You can see that a strong performance coming from our Entyce Beverages business, and a stronger performance in Snackworks, which helped to recover the first semester shortfall. Improved catch rates, favorable currency realization, lower fuel prices and some benefit from the additional vessel that we added into the I&J fleet supported an improvement in fishing profits. Unfortunately, there was an offset there, and that was with regards to the abalone business. Lower selling prices also negatively impacted on our biological fair value adjustment, with ZAR 38 million unfavorable revaluation recognized in the year. Personal Care, a difficult year. Anemic demand and competition constrained our ability to lift selling prices and recover input costs, and resulted in lower volumes as well with an overall decline in operating profit for the year. Footwear and Apparel also had a difficult year. I think competitor discounting and supply chain disruptions through the first half of the year impacted our December peak. And then the decision to close the Green Cross business in the second half weighed quite heavily on the performance, with the overall performance for Green Cross declining almost ZAR 38 million compared to the previous financial year. As highlighted, operating profit growth primarily driven by our Food & Beverage brands. Our Fashion business, obviously challenged. But operating profit margins effectively managed. Strong focus on efficiency in our factories, investments in automation in the previous year as well as restructuring initiatives in the previous year and the effective management of selling prices all supported an improvement in margins across our Food & Beverage brands. Fashion brands' portfolio saw a reduction in operating margins. Personal Care impacted by the competition and lower volumes and the constrained selling prices, with Footwear and Apparel largely impacted by the closure of the Green Cross business and the once-off costs and discounting that was needed to facilitate that process. Excluding the impact of Green Cross, the operating profit margin amounted to 18.9%. So sort of a marked impact from that closure. In a constrained environment, it's important that we manage selling prices and the relationship between volume and value. This graph provides some context to the impact that price and volume have had on the top line performance. Included in price is also the impact of favorable exchange rates in -- from our hedge positions in I&J. Volumes declined across all of our core categories, the largest impact coming from our Beverage business, where the decline was off a strong prior year base. You'll recall that last year, we had some windfalls in our creamer category as a result of competitor supply challenges, which saw market share gains that unfortunately did not repeat in the current year, and we did see some declines coming through there. From a gross margin perspective, our continued focus on managing margins that underpins the long-term value of our business, as Simon has alluded to, continues to get focus, cost control, efficiency initiatives, disciplined hedging and investment in our production capability have continued to be a theme that has driven this improvement. In the information section of the slide deck, we do have a slide that provides a comparison of our actual realized pricing for key commodities relative to the market prices over the year, which gives some indication to -- as to how we were able to ameliorate some of the impact of market prices. As mentioned earlier, our focus on managing costs remains important across the business. A number of restructuring initiatives implemented across our entire Snackworks, Indigo, Spitz and shared service structures during the year. This resulted in once-off costs of ZAR 42 million. We were able to realize some savings against those initiatives, with ZAR 17 million banked in the 2025 financial year. But the annualized benefit we anticipate coming through in the next financial year is ZAR 76 million in respect of those initiatives. I think worth noting is that, that excludes the benefit of the potential nonrecurrence of once-off restructuring costs. From an operating profit perspective, the bullets in this slide really encapsulate the underlying performances. They're going to be covered off in more detail by Simon in the business unit summary. So I'm not going to go through this in more detail. From a cash flow perspective, cash generated by operations improved 5.5% on the previous year. The increase primarily a function of the improved earnings achieved through the year, with cash and -- cash to EBITDA percentage remaining very strong at 96.1%. Working capital to revenue percentage did increase on the previous year. We ended the year with slightly higher levels of working capital. Two reasons for that. One, trade receivables ended higher because of a stronger trading performance over the last few months of the financial year. That was partly offset by an improved cash collection with the prior year base, including the deferral of some payments as a result of the financial year-end falling over a weekend. That did not repeat. And then secondly, the higher inventory levels where we've seen the impact of higher commodity costs, some lower tea volumes in the base and then a conscious decision that we've taken in our Footwear and Apparel business to bring in stock earlier in order to protect service levels and improve availability through the first half of the F '26 financial year. I'll talk to capital expenditure in a little bit more detail on the next slide. So I'm not going to cover that off now. But from an investment perspective, we received a dividend of ZAR 23 million from our joint venture, I&J's joint venture, and that largely relates to the closure of that joint venture following the sale of the squid fishing business. As expected, net debt increased from ZAR 1.4 billion to ZAR 2.3 billion, in line with our expectations. When we declared the special dividend, we looked to increase our net debt to capital employed to the upper limit of our target range. And as expected, our net debt to capital employed increased to 29.7% at the end of the year. Return on capital employed remains very strong at 34.9%, increasing some 2% on the previous year and largely underpinned by the improvement in earnings. Capital expenditure, a large increase on the previous financial year, as Simon mentioned, that is primarily a function of the investment in the second-hand freezer vessel for I&J, where we spent some ZAR 170 million. Excluding that capital expenditure, largely in line with normalized levels. We've continued to invest in projects that support our manufacturing efficiency, product quality and innovation. And in addition to that, have invested in capital expenditure -- sorry, repair and maintenance expenditure in our factories, which has also supported some of the efficiencies that we've seen coming through in the financial year. Municipal infrastructure remains a challenge to provide some redundancy against water and electricity. The business has invested ZAR 41 million in the year. The large majority of that, some ZAR 38 million of that relates to water backup and includes the installation of boreholes and water treatment. Dividend of ZAR 4.06 declared, taking the full year dividend to ZAR 6.26 per share. That's a 6.1% increase on the previous year, with our normal dividend cover ratio of 1.15x earnings maintained, a very strong dividend yield at 6.7% is also maintained based on the closing share price of ZAR 94.13. I'll hand you back to Simon now who will take you through the business unit performances.
Simon Crutchley: Thanks, Justin. Don't trip again. So Entyce Beverages, as Justin said, very strong performance, good contribution from all parts of Entyce. The Tea portfolio doing pretty well despite some of the competitive pressures that we continue to see in the category. But we did have to lift selling prices again, as Justin said, to deal with cost pressures. There is embedded inflation in South Africa in many different places. We had plenty of competition. I guess one of the great things in the world is that competition is robust and vibrant. But we believe that our brands continue to offer consumers value. I think sometimes people tend to forget that we don't only sell premium tea, we compete both in rooibos and in black tea at many different price points and many different formats. In this year, we've got good business from our value brands. Mike and his team launched a new innovation in rooibos with a new value brand in rooibos, which is in its early stage. We're hoping that it will be successful and help us compete at the bottom end, which is also important. Margins remain extremely strong in this portfolio. And as Justin said, plenty of money was invested to support the tea portfolio in the year. We had a strong performance recovery from our coffee business. We compete in all the 3 tiers. It's a competitive and difficult environment, but those parts of it that were important to us all performed well. You might not be aware of it, but Arabica and Robusta raw commodity prices have nearly doubled in the last 18 months. So there's plenty of inflationary pressure here. Hence, the importance of our hedging program that largely provided us the ability to not lift selling prices to the extent that might have been necessary. Certainly, parts of the portfolio were tough, very competitive. But overall, a strong performance from the coffee category. We did talk about some of the investments that we've made to support the efficiency of this facility, and some of those benefits came through in the year. Creamer, Justin said that we unfortunately didn't get the opportunity to annualize the manufacturing issues that affected a competitor. But nonetheless, the creamer portfolio performed extremely well. The investment we've made in robotics and the packaging end certainly provides lots of efficiency and capability. And those efficiencies were annualized and the profitability was strong operating profit margin, as you can see, materially higher than the prior year, notwithstanding only a 5% improvement in revenue, which speaks to the efficiencies and some of the volume gains that were made in coffee. Here, you are seeing tea, coffee and creamer revenue growth. These are aggregated numbers, obviously, and we don't obviously wish to disclose more than that. But you can see fundamentally what Justin was talking about, plenty of volume constraints. But the important part of how we manage volume and value, I guess, speaks to itself in the portfolio with lots of those input cost pressures, I think, well managed under the circumstances. Market share, keep in mind that these market shares are largely the retail formal system. And we have a very strong business into the informal system, less well read in this portfolio, especially in tea and in parts of the coffee and creamer portfolio. Cost pressures. These are the cost pressures that we dealt with net of hedging, which I think obviously speaks to one of the most important things we continue to manage across the business, which is a disciplined program of hedging to deal with. What we know is an environment where you can lift selling prices perhaps once at best twice a year with our retail partners. Snackworks portfolio, strong performance, we think, in the biscuit business, albeit a tough first semester, but a much better second semester. Some really strong innovation coming through in biscuits, some of which you'll see. We're focusing on affordability and access to market in this portfolio, and it was pleasing to see some of that innovation delivering real growth in the second half. Margins are well protected in biscuit portfolio. Lots of money invested in the year to support the innovation and obviously, the marketing. And as Justin said, this business also was affected by some of the once-off restructuring costs that we talked about, the ZAR 42-odd million. Snacks, a slightly tougher year. We had real problems in potato supply chain delivery. You might have forgotten the very wet weather, but certainly impacted our ability to lift potatoes and process them. There's plenty of competition in extrudes, and the vitality of the category is very alive and well. We're working very hard on innovation, on flavor innovation and holding our own in the parts of the mix that we feel are important. And again, selling and admin costs in the snacks factory, well managed. These are the volume and value issues. I think what's notable is to see obviously some improvement in the second semester, speaking to the innovation that we launched, which was pleasing. And again, the impact of selling prices, obviously, are annualized 6.1% and 8.4%, respectively. Market shares, again, these are also, as I said, I won't repeat myself, but the market share environment for us, slightly better in the informal system. Impact of raw materials are pretty expensive increase in raw materials across this portfolio, net of hedging. We weren't entirely protected from some of these cost pressures, which obviously are detailed here. You can read them at your leisure. I&J, it's been, as you know, a pretty torrid several years. There is a slide that shows our catch rates, I think, in the addendum. And you will see, obviously, we are very far from the long-term average catch rates. Some improvement in this year, obviously helping materially the fishing business. As Justin alluded, abalone still remains a challenge, with oversupply and Asian demand still keeping a lid on margins in the category. We're hoping to see some improvement in the year ahead, but it's far too early to call that. The Umlungisi gives us a materially better opportunity to fulfill the strategy of widening our selling in international markets of Frozen at Sea Fillets, which is the reason why we bought the vessel. We haven't had the best catch rates so far this financial year. I don't want to tempt fate, but in the more recent weeks, we've seen slightly better catch rates on the freezer vessels. This business remains terribly leveraged to catch rates. For those of you who've covered AVI for many years know that if catch rates improve materially and the exchange rate remains where it is, there's lots of leverage in the I&J business. Good operating cost control. We're well hedged on fuel, and that certainly will be a driver in the year ahead if we have improving catch rates. Abalone, I've touched on. I mean, material obviously is the accounting treatment of the biological assets, and we raised a ZAR 38.1 million impairment. It's noncash, but nonetheless, it obviously affected the operating profit disclosure. And you can see that in the build-out with ZAR 66 million, basically being the big red negative bar in the financial performance. We're certainly hoping that, that won't repeat itself in the year ahead. And that's the profit history. Obviously, the pleasing blue graph in '25 is to see the recovery core fishing business. And that slide actually is here -- sorry, 7.9%, still sitting well below the long-term average and the averages we saw in F '19, F '20 and '21. And that breaks out some of the detail, the export revenue growth. The one thing that we have in our favor is there still remains a white fish shortage in Europe. And certainly, we have customers calling us literally every day asking for more products. So if we have a successful season catching on the Umlungisi and the other 3 freezer vessels, there's a substantial opportunity for us to extract more volume in that portfolio. In Indigo, very, very tough. Personal Care as a category, for those of you who look at category growth will have seen substantial declines in South African's consumption of personal care in many, many categories. The body spray category has declined at some 15% in the year, very tough for us to adjust this business to deal with that. And of course, we compete against multinationals in many instances with lots of aggressive discounting taking place as we've all tried to deal with the anemic demand in this environment. We've seen sustained discounting into the early part of this new financial year. What we have done is to invest in a new roll-on facility, which gives people access to deodorants at a materially lower price point than a deodorant can. And that's just coming online as we speak, will give us an opportunity to bring leverage to the brands that we have in this portfolio in that format. As Justin said, I'm not going to add any more to it, but obviously, with the unfavorable sales mix and volume declines, obviously, Indigo really struggled in the financial year. We're hoping for a better year because of some of the work that I've just talked about. In so far as sales volumes are concerned, you can see the volume impact. What's important to note, of course, is that our market shares are largely intact. It's not that we've given up ground in this category. It's merely that the category has been affected by both discounting and obviously category declines. Footwear and Apparel, certainly a very tough year, one, obviously, because of our decision to exit the Green Cross retail business. We've sustained our presence in the wholesale business, and we'll continue with some of the formats and with school shoes using wholesale as a channel, which we traditionally have done, but we found the ability to be in the middle market very difficult. I think it's one of the things that increasingly is an issue in South African apparel and footwear retailing is that it's pretty difficult. You're either valuable, emotional and expensive or you're cheap. And if you get caught in the middle, it is a particularly challenging space to be. We've seen some progress with Kurt Geiger and Signate, which is a lower and more affordable price point. In Kurt Geiger, certainly in the second half, it started getting momentum in the last 2 months, certainly, we've seen sustained progress with Signate and Kurt Geiger. And these are the volume declines as broken out. International, a pretty good year overall, sustained progress, quite challenging in some markets, foreign exchange. The inevitable and inimitable problem in many of these markets, Mozambique, in particular, was challenging, where the currency scarcity of dollars made it difficult to sustain our rate of sale into Mozambique. But nonetheless, reasonably strong performance across this portfolio. It's still an important part of how we continue to build our brands regionally. It's certainly an important component of our grocery portfolio. And what's important is we sustain the profitability at levels that we think make it a very attractive business model for us. We don't manufacture in any of these markets. What we do is we produce in South Africa, and we run distribution and wheels. So that's the financial year. Of course, you guys all look forward, not backwards. And we appreciate the importance of that. I don't think I'm probably a unique voice in saying that it is a tough consumer environment. Consumer discretionary income is being fought over by many categories. South Africa has a gloriously vibrant and competitive environment. We have world-class retail in South Africa, whether it's in food or in clothing. And obviously, there's no shortage of competition. We believe we have a unique portfolio of brands. We wake up every day with a very high conviction that our relationship with consumers is the most important thing we do. We care deeply about how our products show up, both in flavor and in taste and in quality at all price points. We believe in innovation, and we're really, I think, building some proper momentum, which I think will play out in the year. We have, like many South African businesses, a much bigger and more systemic challenge with infrastructure. I think it's sadly not spoken about to the extent that it should be. I can say that, of course, the ongoing investment into infrastructure that ameliorate some of those infrastructural risks is really important to how we see the world. We know that we must sustain our ability to run our process environments even if they're interrupted by electricity or water. And so we have, I think, now mostly got every single one of our key manufacturing sites to a point where we can actually live and sustain them for short interval and even longer interval outages of both electricity and water. Water, obviously, is fundamental to many of our processes. Electricity, we can get by with on generators, albeit at great expense. The one challenge that doesn't show up, of course, is that if we're not notified of power outages, if you take, for example, a creamer or coffee processing plant, you can lose 3 or 4 hours of CIP cleaning time if you get even a 2- or 3-second interruption in power. So these are challenges that I think, obviously, our teams manage effectively, but nonetheless, they are fundamental. We're working extremely hard and diligently with local authorities. We're not willing to accept poor service levels. And we hope that by trying to become productive and engaging with them, that we can work towards improving some of these failings at least in the medium term. Costs and commodity pressures, obviously, at the moment, look reasonably benign. But as you all know, it's a volatile world, and exchange rates and commodity prices can shift quickly and fundamentally, hence, our hedging program, we're pretty well hedged, as Justin has said. And at the moment, that bodes well, I think, for margins in F '26. We've got, obviously, the benefits of our restructuring in the year ahead, which will certainly contribute. And in fact, we have started a campaign of revisiting how we might continue to find a more efficient set of ways of working across our businesses. We are interested in innovating in how you operate and manage in a changing environment. And certainly, I salute all my colleagues who've got ever more used to running our business model on a delayered, decentralized basis with as much efficiency and effectiveness at the coal face as is possible. We've got an interesting pipeline of innovation, which is critically important. We acknowledge that, in some cases, our formats are highly desired by consumers, but they're expensive. So we've invested in the last 3 to 6 months in manufacturing capabilities, which will allow us to sell smaller formats of many of our premium products so that consumers can gain access to those products. It's interesting to see that certainly, we're seeing the benefit of doing that and the volumes at this early stage are encouraging. We're focusing on innovation in health and wellbeing as well because we acknowledge that, that's also important increasingly to many consumers. The one thing that's for sure about AVI, given all of the effort efficiency initiatives, the capital investment that we've made to improve productivity, is we're certainly highly leveraged to any recovery in consumer demand, probably like never before. I&J, unfortunately, we don't own and control all of the levers in this business. We have made the decision to obviously put a new freezer vessel in, which is us betting on our freezer strategy because we know there's a strong return if we can make that work. We have good hedge exchange rates that support export profitability in the I&J business. And of course, we continue here as well to focus on simplification and cost and efficiency. Fundamentally, the abalone business, it's in good shape operationally. What we really need is an improvement in demand and selling prices in Asian markets. It's early days, but the first 2 months have been encouraging for Footwear and Apparel. I mean, absolutely critical to this business is -- that's nice music, Christmas music, is obviously a strong festive season, and we think that we're well positioned to do that. Justin alluded to the fact that we didn't want to find ourselves down at heel with no stock, obviously, in this critical period. So we made the decision to bring in some inventory earlier. And I think we're benefiting from that. And certainly, we're hoping H1 will be materially better. We certainly won't have, obviously, the Green Cross closure costs in H1, but we continue to focus on important things here. We brought Gant online as an experiment to see whether onlining one of our brands is actually a good idea, and we'll see how that plays out in the year ahead. We still have and continue to look for smart ways of investing money across the group in order to find small opportunities that can come together in aggregate and drive our top line and our bottom line, and some of those are obviously listed there. It's obviously materially lower than the year that we've just had, but that's largely a function of not having a freezer vessel in the CapEx plan. To run a successful business in South Africa, I believe, requires you to revisit conventional wisdom, old-fashioned business models. In AVI, we're not very good at corporate speak. We're great believers in understanding the virtues of your consumer is at the center of what you do and then trying to make the process of providing great products as simple and as cost effective as you can. We're very lucky to have strong cash flows. And certainly, we will continue to invest money that allow us to produce great products but more cost effectively. And some of those were obviously on the page before. What's also challenging, of course, we're now in, I think, year 16 of declining real incomes per capita in South Africa. We're a business built for a growing economy, a growing middle class economy historically, and finding scalable and relevant innovation in an environment like this is, of course, one of our great challenges, one that we relish every day, but nonetheless, it would be superficial to suggest that it's easy to do. We certainly treasure our cash flow. We respect the importance of returning capital that we don't need for our own business models to shareholders efficiently and we'll continue to think like that. We work hard at replicating our presence in regional markets. I think we sell products that consumers who can afford them appreciate. And certainly, our market leadership in those markets with respect to the premium end of those markets is strong and intact. We continue to look at acquisitions. We continue to look at how we would take our brands and our products to markets outside of South Africa. Ironically, we were looking hard at the U.S. But as you know, that's become a little more problematic in the short term. So thank you very much for your attendance. I appreciate those of you who came, and happy to take any questions.
Unknown Analyst: Simon, it's [ Myron from Metal Industries ]. A couple of questions. The first one -- well, firstly, well done on a commendable set of results. I mean, to grow EBIT and headline earnings in these circumstances is quite tough. So well done. The first question is on Entyce. It's quite an important COG of your group, but especially this year, I see because the group EBIT growth was ZAR 250 million, but Entyce in itself, one man show, ZAR 300 million growth. What keeps you up over the medium term of Entyce's profitability?
Simon Crutchley: Well, that's the interesting effect of, well, two things: How we report? So you're seeing, obviously, and making, I presume assumptions about where will the profit come from. It's pretty well spread in this financial year. I mean, creamer was more challenging. Our job is to take our assets, our competitive advantage in any category, in any year and make the best of it. Whether we can always annualize or repeat, what we've achieved is not something that keeps me up. I mean, what keeps me up is that we run a business that is vital, smart enough and market sensitive enough to sustain its ability to compete. Now we have a portfolio effect. Sometimes, we will see an outperformance in I&J if we get better catch rates, and we might see basically a materially better performance from the Snackworks portfolio in a year. You can't manage a business as complex across as many categories by making the assumption that you can expect every year to provide the same outcome for every category. And so what me and the team try and do is to extract the most value that we can on a sustainable basis, ensuring that if there is an opportunity in the system that we take advantage of it because that's important for our shareholders. But equally, absolutely committed to ensuring that in any of these categories, we're playing the long game, and that's the game we play. So I don't lose sleep about it, but I certainly know like you because I obviously know my own numbers that it obviously is an outperformer in this financial year, but there have been many years where other categories have been material outperformers.
Unknown Analyst: And maybe a specific question on tea. We've seen multiyear periods of volume declines. And listening to some of the beer manufacturers, they're complaining that the youngsters don't drink beer anymore. Do the youngsters in your portfolio, do they drink tea? Is it tea a medium-term problem as well or not really?
Simon Crutchley: Well, I think the reality is that, I mean, certainly, youngsters get older, which is a real advantage. And if you have a look at South Africa's population pyramid, it's going to create lots of older people because it's very wide at the bottom. So maybe there is a silver lining in that. And the reality is it's a very cheap beverage on a per consumption basis. So we think it's highly competitive. If you look at what 100 tea bags cost and convert that into serving, compared to most other beverage servings in the country, it's certainly a serving and an offering which has been robust in African countries for a long time. Certainly, one of the things that South Africa has, and it's a remarkable country. I don't think people appreciate the incredible inventiveness and the business vitality, all of these energy drinks. So there's always competition. I believe that tea is fundamentally a good-for-you beverage. It's a cheap-for-you beverage. And I think, certainly, whilst it's got lots of competition, I'd bet on it being here for a lot longer than some of the other things, given the affordability challenges that South Africa faces. Any other questions? David, you raised your hand.
Shaun Chauke: Shaun Chauke here from JPMorgan. I have two questions. One, due to some of the positive tailwinds on loss of commodities, the non-repeat of once-off going into the new year, I just kind of want to get your thinking because if you look at the cumulative effect of your price increases over the years, I understand there was margin protection, et cetera, offsetting input cost. At what point is there messy for the consumer, given some of the positive tailwinds coming into the new year? Or is having messy for the consumer sort of taking your foot off that pedal has more long-term permanent damage than you just continue doing what you're doing?
Simon Crutchley: Well, the most important thing we do basically is recognize the realities that consumers face. So if we have the opportunity to provide consumers with a better proposition through our retail partners, of course, we do that. We do that all the time. The idea that we can ameliorate of course, the inflationary pressures and not permanently damage the gross margins is something that unfortunately, some companies in South Africa have chosen not to do. And the economic consequences of those are permanent and fundamental. So it's a difficult journey. One accepts once walking along the edge of an icy path against the cliff face. But nonetheless, one walks that with conviction and determination. So we believe we provide consumers a lot of value. And we certainly show up if you go and look at broad sheets, providing value to consumers with our retail partners regularly. But we can't control macro, but nor should we undermine investors' long-term value in AVI by ignoring that reality. We just simply couldn't do that.
Shaun Chauke: And just to build on the second question, with regards to increased competition that you've seen, maybe just bucket it in 3 parts. How much of that would you say was as a result of because you've pushed pricing too much, but rational behavior in terms of what you were doing created breathing room in terms of competitors, sort of not following suit at the pace that would have been rational, sort of created that breathing room. So that's the first part. The second part is on the very same point, how much is it because of competitors just coming back in terms of capacity, product availability and so on? And the last part is how much of it mostly to the macro as well?
Simon Crutchley: Well, that's a big question. The reality is every category has got a different set of competitive dynamics. In some cases, obviously, there's regional competition, national competition. Some of it is multinational. Some of it is obviously private. It depends on the ticket to the game. So in categories where the cost of participation is very high, where the capital intensity is very high, and the technical complexities are high, the competition environment hasn't shifted materially. Clearly, where the access to capital is lower, and there is regional dynamics in it like snacks, you've seen an emergence of competition, and certainly, it's vital. And of course, one of the big challenges in South Africa is the duality of values that increasingly one has in manufacturing environments where the rules are not always the same for everybody. And that's something that our retail partners talk about because they're affected by that, too. So in the end, if you think that in AVI, we don't wake up every day and acknowledge competition, that I certainly can ensure you that we do. It's visceral. It's present. We see it when we visit retail environments, which we do. We're not a desk-bound management team by any means. And it's something that one must accept. But it doesn't mean that there's a simple palliative in any of our categories. The palliatives are the things that we've talked about today, capital investment, automation where possible, leverage with scale where we can, innovation so that we delight consumers. And that's something that I think everybody across our businesses appreciate, is basically vital to the continuity of what we have as a business. But we're certainly not unaware of the competitive dynamics that exist. And you've covered them well yourself, and they're permissive. And that's what makes the world special is competition. None of us have right to continuity without the vitality of our own initiatives and energy to ameliorate the effects of competition. So I think we try and do that as best as we can. But what's absolutely fundamental, and there are many good examples in South Africa, where if you don't manage your gross margins, it's very hard to continue supporting your consumers with great products. And it's very hard to deploy capital because in as much as we have a 36% return on capital, and it's a blended, obviously, return and I&J's returns are materially poorer. The truth is that all of our equipment has to be replaced eventually in dollars or in euros. And that's a significant investment. So the truth is, if you really wish to measure your capital return, what you can do is you can revalue all your assets based on what that replacement cost would be. And that, I think, materially changes the return prospects of many businesses in South Africa. And we're very aware of that in AVI. So we have to protect our gross margins in our categories for us to be a sustainable business over the medium term. Sorry, David, I think you had a question. Was that all, I think?
Unknown Analyst: Thanks, Simon. You talked about operating leverage in a lot of your businesses. I mean, none more so than I&J coming off like multiyear low catch rates. And I think some of your competitors have also called out the fact that catch rates have moved up what appears to be quite sustainably and quite materially. I mean obviously, with extra volume, another ship on the water and a ready market in Europe, I mean the sort of operational leverage in this business, I mean, for those guys who have been around for a long time. I mean, when it does kick, it kicks properly. I mean, is that kind of what you'd like to expect this year? I mean, obviously, it's fishing, so there's no predictions. But as you sit right now, it does look like one of the business that's really going to do some heavy lifting this year.
Simon Crutchley: Look, it deserves it. It's had a very tough period. And we've continued investing in it. For those of you who look at the presentations, we didn't allow our fleet to deteriorate. We took a strong decision to obviously buy the freezer vessel on the assumption that the resource was cyclical and that if, in fact, it started improving, it would provide us that kicker. So absolutely.
Sa'ad Chothia: 0 It's Sa'ad from Citi. Well done on the results. So my first question is you showed market share declines in the formal space, formal retail space, in Entyce and I think, Snackworks. Can you maybe just share what's happening in the wholesale space in terms of our market share, number one. And number two, do you think the wholesale sector is growing faster than the formal retail sector and that's why your positioning is obviously targeting that space?
Simon Crutchley: Mike, do you want to have a go at that? Or should I because you don't have a mic. Mike, you need the mic.
Michael Koursaris: So your first question was regarding growth in the informal space. As far as we see in our portfolio, certainly, it is growing, and has for some time, ahead of the formal retail market across all our categories. As to market share, it's very difficult to say because you don't get accurate reads across that space. But certainly looking at what is reported by our peers and competitors in the food space, we would say that we are gaining share and growing at a faster rate versus formal retail.
Sa'ad Chothia: And then just following on the total wholesale sector as a whole in South Africa, do you think that's growing faster than formal retail?
Simon Crutchley: It's difficult for us to give you a view on that. I mean, certainly, we can -- as Mike says, he's given you our perspective on it, but whether it's in totality growing, I'd just be swinging the bat. I mean, there's just no data that I could support my answer with.
Sa'ad Chothia: Okay. And then just one more question. On the Personal Care space, there's a few retailers now going into private label and they're investing quite a lot into private label and they're rolling out stores. Is that something that concerns you, keeping you awake at night in that -- for that business?
Simon Crutchley: Well, absolutely. You can see the results in Indigo of category decline in body sprays. I mean whether private label is a palliative to it is a debatable point. There's a lot of emotional value when consumers consume. But certainly, it will be another source of competition. I mean the key thing for us is to extract value from our great brands, which consumers know and support. And obviously, there are many retail partners and wholesale partners who still believe in the distribution of branded products, and the vitality of that, I don't think is going to shift away completely simply because there are others who are trying to do private label. Clicks, Dis-Chem have been doing this effectively for a decade. So it's not new. It's just a widening of the, I guess, participation in private label in the category.
Sumil Seeraj: Simon, it's Sumil Seeraj from Standard Bank. I just want to know, just following on, on David's question about operating leverage. You did mention that with the lower inflation on your input costs, you are seeing some volumes in Entyce and Snackworks improving in the second half. Has that continued into the new year? And has it turned positive? Or is it just less negative?
Simon Crutchley: I'm not the [ JSE ], I definitely can't give you a profit forecast. We think that we are going to see -- or we certainly budgeted to see improvements in F '26, whether our hopes and expectations will be met by the macro realities and the work that we're doing is early to call 2 months in the system is far too short because of the leads and lags between sell-out and sell-in, but I'm not pessimistic. So most of my colleagues know that means that I'm probably being a bit optimistic, but it's tough. I mean, I don't think you could talk to anybody who are competitors of ours or our retail partners who won't tell you the same. It's a tough environment still. So -- but let's see.
Sumil Seeraj: And just one more question. You've extracted a lot of costs continuously from the business over time. Last year, it was restructuring in largely the food divisions? Where do you see that cost savings coming from going forward?
Simon Crutchley: I think I'm intrigued by the opportunity to reimagine basically how businesses like us basically can go back to some of their history now. It's easy to -- for those of you as old as me, you'll remember that South Africa went through a period of corporatization, lots of families sold businesses, and AVI, in many instances is an amalgam of that history. And those businesses were run in a very particular style. And then you had a period where they were collectivized and you built head offices and then you centralized functional structures and you push decision-making up a funnel and you built an organizational structure that basically supported that. And to some extent, that was mirrored in the process and factory environment. So what we've been doing in AVI for some time now is asking ourselves how can we deconstruct that to the extent that provides a very much flatter structure, very much smaller central structures, more decision-making in the factories. And then, of course, the next thing we're trying to examine is what's the competitive advantage and disadvantage of the factory management structures and the way we run and operate process lines and the number of people we have on those process lines, with the long-term ambition basically of becoming as effective and as efficient at a manufacturing site that we can because a lot of the leverage that David and you are talking about sits in our ability basically to leverage the process environment, and that's where we will continue to look for savings. And we think there are some quite interesting things in that regard to do in F '26.
Unknown Attendee: Simon, we have a few questions on the webcast. Right. Charles Boles from Titanium Capital and Siphelele Mdudu from Matrix Fund Managers have a few questions regarding the abalone business. The first one, the abalone market has seen weak demand with considerable pricing pressure. Do you think this is cyclical or structural? There seem to be operators in distress in the abalone market. Does it make sense to acquire in this space as acquisition prices likely will be attractive? Or is this a space you would not want to allocate capital to even if a downturn is considered cyclical? And then that follow-on question from Siphelele was, with it having a challenging year of oversupply, what do you think would change the oversupplied position?
Simon Crutchley: Well, the palliative to oversupply is normally failure of businesses who are participating in an oversupplied market. We don't have the financial ability to weather it. And I suspect that, that's what you're seeing. We certainly feel that we've got a fabulous farm. We know that we're one of the lowest cost producers. And if we wanted to expand the capacity, it would be way cheaper for us to do that by expanding it because to go and own another site with a separate management team, in my view, would certainly be per economics. The reality is that markets like this basically stabilize and improve when supply equals demand. And we know that China, in particular, which is a major market, has still got structural impediments that is affecting the overall demand. And what's interesting is that prices in the market have not materially declined. It's really just the rate of consumption that's declined. So at least the importance and the value of the product, the pressure on pricing is largely other people's willingness to discount. It's not that at the end of the day, the market price in a restaurant in China has shifted substantially, which bodes well what we need basically is a balancing of supply and demand.
Unknown Attendee: We have a question from [ Marie Moav, Elliot & Co. Fund Managers ]. He says there is quite a big difference between your catch rates and those reported on by Sea Harvest. Why is that?
Simon Crutchley: Well, if you have a look at the Sea Harvest results, there's a little asterisk that says Saldanha fleet only, okay? So that's about 55% of its boats. I suspect that when you add the other 45%, you might get a lot closer to our number.
Unknown Attendee: We have a question from Warren Riley of Bateleur Capital. Given lower input costs and some nascent signs of consumer recovery, do you expect that FY '26 may see an improved volume performance? Do you foresee lower average selling price increases this year compared to the last few years?
Simon Crutchley: Yes. I mean, certainly, with selling prices, we certainly have a more benign environment, but at this stage, difficult to say with certainty, I mean, outside of our hedges. And on demand, it's just difficult to make that call. But we're hoping, as I said earlier that, that's the case, that's what we set out as our ambition.
Unknown Attendee: Okay. Then we have a question from Heinz Schenk of Netwerk24. He's said well done on the solid set of results in the difficult environment. You mentioned how you're investing in manufacturing capabilities that could produce your strong brands, for example, biscuits in smaller units to possibly create wider access to consumers. How much is this the rise of private label brands playing a role in this area? Or is it more of leveraging the strength of your brands with affordability?
Simon Crutchley: It's leveraging our brands with respect to affordability. It's a respectful decision in order to give people access to our products at lower prices. But also it's an acknowledgment that maybe we have been a little parochial in some of our 200-gram formats and the people snack and they're on the move and that they don't need 200 grams of biscuits always. So we would, I think, respectfully acknowledge that it's important to provide people that solution and the advantage is that it's also at a lower price. And some of our bags, for those who are here, you will see that in the bags. We think is certainly an important thing that we've done.
Unknown Attendee: We have a question from Nick Wilson of News24. He says, I see that the group has decided to close down Green Cross here in SA. I see that a total of 13 stores are being closed. What is the total number of stores that are left in the Green Cross portfolio? And what prompted the thinking behind the closure? How many jobs will be affected by the closure?
Simon Crutchley: Well, there are 3 stores left at the moment, and those will all, once their leases run out, will close. Our thinking is simply what I said earlier, which is it's a very difficult decision when you fundamentally find that if you're sitting in the middle market with lots of very cheap imports where your main retail partners are importing cheap replicas of your products, that do you have a sustainable business model. And in AVI, one of the most fundamental disciplines is return on capital employed over the long term. And when we looked at it, we just didn't believe that we could afford to reinvest in our retail portfolio. The advantage of having a retail portfolio is that in many instances, the people in those retail stores were redeployed in many instances, back into the balance of the group's retail environment. So there weren't substantial job losses.
Unknown Attendee: And then we have a question from [ Jumie ] at [ AAP ]. Working capital management has been a driver of cash generation. Can you talk about your priorities for FY '26? Whether you see further room for improvement in inventory, receivables or payables and how this will support both growth initiatives and shareholder returns?
Simon Crutchley: Yes. I mean I think we'd see the number come back from this year, but what's fundamental to us basically is availability. And so for us, working capital is an important tool in order to ensure very high service levels. I think our service level in our grocery businesses was over 97% this year. I'm not sure that there are that many businesses in South Africa who would have a 97% service level. And that's working capital working for us. So we don't wake up. We have the, I guess, the balance sheet and the cash flows to support working capital. And I would prefer to not thrift on working capital as a pursuit in -- at the expense of service levels and customer availability. So I don't think a big fundamental change, [ Justin ].
Unknown Attendee: We've got a couple of questions around M&A from [indiscernible] [ Zahid ] from Wealth Investment Management; and [ Sedum Charlie ] from ALUWANI Capital. Are there any -- are these opportunities given your strong balance sheet to acquire any of your peers or divisions that are suitable. How do you intend to grow market share in the absence of market growth? Those are the two. Then can I read the rest or you want to address them?
Simon Crutchley: Let me just address one at a time. We have an open mandate, and some of our banking colleagues are with us today. They know what we like and what we would like to acquire. And of course, we are often bound by agreements that don't allow us to talk about these things, which is perfectly understandable. But we are ambitious. We would like to acquire things. But we're picky because brands are really important and great brands don't often come on to the market and multinationals definitely don't sell their businesses. And in many instances, we compete against multinationals. We're very cautious about buying things that are small, and certainly cautious about buying things, which in the end, don't have a reasonable moat because it's a tough environment. But we certainly are open-minded and committed. And if we can, we will. But I can't really say more than that.
Unknown Attendee: All right. The other questions were more specific around the M&A you were considering in the U.S.A. I'm not sure how much you can say about that.
Simon Crutchley: No, we weren't considering M&A in the U.S.A. We were considering on making Americans grateful to have many of our great South African biscuit products, for example. Unfortunately, tariff got in the way of that. But we do believe that we have products that are unique and interesting to consumers. The key question is how would you do that? Where would you go? And that was a piece of work that we started some time ago, but certainly with the tariffs as they are, if they're to be sustained, makes it materially more difficult. But no, we weren't about to experiment by buying something. Please don't misunderstand that.
Unknown Attendee: I mean there's another question around Entyce, but I think it was largely addressed. I'll read it if there's anything you want to?
Simon Crutchley: I think you agreed to move on. A lot of hungry-looking people here.
Unknown Attendee: We can finish then.
Simon Crutchley: All right. Okay. Well, thanks very much, everybody, if there are no more questions.